Operator: Good morning. My name is Tasha [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to the Iron Mountain Q3 Earnings Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Ms. Melissa Marsden, Senior Vice President of Investor Relations. Please go ahead.
Melissa Marsden: Thank you, Tasha [ph], and welcome everyone to our Third Quarter 2014 Earnings Conference Call. This morning, we'll hear from Bill Meaney, CEO, who will discuss highlights for the quarter and our progress towards strategic initiatives; followed by Rod Day, CFO, who will cover financial results and discuss portions of our supplemental reporting package. After our prepared remarks, we'll open up the phones for Q&A. Per our custom, we have a user-controlled slide presentation on the Investor Relations page of our website at www.ironmountain.com. Referring now to Slide 2. Today's earnings call and slide presentation will contain a number of forward-looking statements, most notably our outlook for 2014 and 2015 financial performance. All forward-looking statements are subject to risks and uncertainties. Please refer to today's press release, earnings commentary, the Safe Harbor language on this slide and our most recently filed annual report on form 10-K for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. The reconciliations of these non-GAAP measures, as required by Reg G, are included in this supplemental reporting package. With that, Bill, would you please begin?
William L. Meaney: Thank you, Melissa, and good morning, everyone. We are pleased to report another quarter of strong operating performance, with progress over -- on our 3-year strategic plan and other important initiatives. During the quarter, we continued to strengthen our performance in the developed markets, further expanded the portion of our business from faster-growing emerging markets, increased the momentum in our emerging business segment and accelerated our real estate purchase program. We also declared our first regular quarterly dividend as a REIT in the remainder of our EMP distribution, resulting in a substantial payout to stockholders. Our financial results for the quarter continued to reflect some noise related to our REIT conversion. I'll touch on the highlights, and Rod will address the specifics in a few minutes. Total revenue for the quarter was $783 million, up 3.9% on a constant dollar basis, in line with our 3-year plan to achieve 4% compounded annual growth. Adjusted OIBDA and adjusted EPS were both impacted by restructuring charges as well as ongoing REIT compliance costs, which were not in last year's numbers. Turning to the operating highlights. Total storage rental revenue, a key economic driver of our business, was up 5.6% in constant dollars, driven by strong growth of 12.5% in our international business, 3.3% in North American Records and Information Management and 1.9% growth in Data Management. Strong storage rental growth in the third quarter reflects our focus on driving net positive storage rental volume growth in developed markets. Year-to-date, we added 3.7 million cubic feet, net of acquisitions, or 0.8% volume growth. Of this amount, North America alone was positive 1.6 million cubic feet. We also continued to improve retention with further reductions in customer terminations and permanent withdrawals in North America, bringing total volume outflows down to 6.3% from 6.6% in the second quarter. The combination of improved customer retention, together with internal and new sales, has yielded North America the positive internal volume growth of 1.6 million cubic feet referenced above. These trends underscore the durability of our high-return business in the mature, developed markets, which remain fragmented with significant unvended potential, and the success of our targeted sales and customer retention initiatives. Turning to emerging market performance. As of the end of the third quarter, we now have 12.2% of total revenue coming from these high-growth markets, up from 10.5% at the beginning of the year, progressing nicely towards our goal of 16% by the end of 2016. Emerging market internal storage rental growth -- revenue growth was 10% in the third quarter, driven by internal volume growth of 9%. Including acquisition gains, volume growth was 19% in the emerging markets. Acquisitions continued to be an integral part of our strategy with particular emphasis on high-growth emerging markets. Since our last quarterly report, we closed on the acquisition of Keepers Brazil, our fourth acquisition there in the last 2 years. Brazil's record management market is expected to continue to grow in the high single digits annually for the next 3 to 5 years, and we are achieving steady improvement in profits and returns as we continue to enhance our leadership position. We also anticipate further enhancement as we shift operations to our new campus in Hortolândia, near São Paulo, over the next few years. Additionally, in Eastern Europe, we bought out the vast majority of our JV partners' interest in Serbia, Denmark, Russia and the Ukraine, and we acquired ALCZ, a provider of records management services in the Czech Republic, increasing the size of our business there by some 15%. We have a strong pipeline of opportunities in emerging markets with more than 4x the coverage needed to achieve our goal of having at least 16% of our sales from emerging markets by 2016. We continue to evaluate acquisitions in terms of how they can both further our market leadership and sustain the durability of our business, after first establishing that we can exceed our cost to capital and achieve our targeted returns. Within our emerging business opportunity area, we continue to experience good momentum in our data center operations. We will invest roughly $27 million this year to expand capacity by 25%, and deliver the space related to bookings in our Pennsylvania underground facility, where more than 90% of the inventory space is contracted. We also signed our first few deals in the initial phase of our new aboveground facility in Boston, and have a pipeline of about 3x our initial capacity. Our year-to-date investment in this business is about $19 million, and we plan to invest another $16 million or so in the fourth quarter to accommodate capacity requirements in the underground facility. As we've noted in the past, we will invest in our data center business based on customer wins. Another strategic goal as a REIT is our plan to own more of our real estate over time and continue to optimize our portfolio. Since the beginning of the year, we've bought in or have under contract more than 700,000 square feet of space, including properties in Colorado, Michigan, Ohio, Illinois, and Virginia as well as one building in Cork, Ireland. Our primary focus, however, will be on U.S. properties, where we have a total of 22.5 million square feet of purchase opportunity. Moreover, through purchase options, we have a clear path towards ownership of an additional 3.4 million square feet. Execution of these options would shift our own percentage by about 5 points, implying that together with the recent purchases, our owned or controlled portfolio of real estate represents approximately 40% of our total. Expected unlevered IRRs, or internal rates of return, on properties purchased to date are between 9% and 12%. It's important to note that we also have a substantial portion of our properties covered by attractive lease rates, given the long-term nature of those lease arrangements, so those will generally not be part of early purchase consideration. We also disposed of some older properties and will continue to prune the portfolio to maximize the value of our real estate holdings. In other REIT-related developments, we declared both our first regular quarterly dividend of $0.475 per share and a special distribution of $3.62 per share, representing the remainder of the EMP purge to be distributed 80% in stock and up to 20% in cash. As you may know, the 3-day pricing period for the special distribution ended last night, resulting in an average price of $35.55 per share. As a result, we expect to issue approximately 15.7 million shares, bringing our total outstanding to 209 million shares. Our quarterly dividend rate was based on an assumption of 209 million shares outstanding following the stock dividend. Subject to board approval, we expect to declare and pay another regular quarterly dividend of $0.475 per share in December. We also expect to declare and pay a catch-up dividend, which will represent the remainder of the total $400 million of ordinary dividends to be distributed in 2014. We don't yet know that precise per share rate, but we expect to outline the remaining 2014 payments later in November. These dividend payments are significant as they represent the culmination of our conversion to a REIT and demonstrate our commitment to enhancing stockholder returns through attractive payouts and steady long-term cash flow growth. At our current payout rate, in yesterday's share price, our dividend represents a 5.3% yield, well in excess of most REITs, and supports our goal to deliver total shareholder returns in excess of the 8% to 9% TSR, or total shareholder return, of the S&P 500. Combining our current yield of 5.3% with our expected adjusted OIBDA growth of approximately 4% results in a TSR for Iron Mountain of over 9% prior to dividend reinvestment and also before we add potential upside from additional emerging business opportunities. Importantly, the REIT structure is consistent with our capital allocation goals and does not limit our ability to fund our business plan. After maintenance and IT-related CapEx and the dividend, we retained enough cash to support investment associated with internal growth in our core business. As we become more active with acquisitions and the purchase of real estate, we expect to fund that incremental investment with additional borrowing or equity issuance, similar to the manner in which most REITs fund external growth. As we've said from the beginning of the process, our business is well-suited to the REIT structure due to our sizable real estate portfolio and our attractive business model, through which we incur occupancy costs on a square-foot basis but generate storage rental revenue on a cubic foot basis. This significant spread between our costs and our return on investment generates high net operating income per square foot and is core to how we create value for our stockholders. We also distinguish ourselves through low-maintenance CapEx and low turnover costs per square foot. We have no TIs, or tenant improvements, required if a customer terminates, and we bring in another customer's records. We also have a low customer churn of less than 2% per annum, as well as excellent customer credit quality, given our service to 950 of the Fortune 1000. Due to the 15-year average life of a box in our storage facilities, we also have very low volatility in the growth of our storage rental business even during turbulent economic cycles. Now I'd like to turn the call over to Rod.
Roderick Day: Thanks, Bill. We continue to be pleased with our operating performance. We had a solid third quarter, anchored by storage rental and improving volume growth as well as benefits from acquisitions in emerging and developed markets. I will begin today with an overview of our third quarter financial performance, followed by an update on our outlook for the remainder of the year, and a preliminary outlook for 2015. I will then address our capital deployment activities and conclude with a discussion of various REIT metrics. As a reminder, we now provide all of our financial disclosures and the earnings commentary in one comprehensive supplemental reporting package. I will be referring to certain pages of this package throughout my remarks. Turning to our financial results for the quarter. Let me direct you to financial highlights on Page 8. Supported by strong storage rental growth, total reported revenues were $783 million for the quarter, up approximately 4% compared with $755 million in 2013. Adjusted OIBDA declined by approximately 2%, reflecting ongoing REIT compliance costs as well as acquisition-related costs when compared to prior year. Year-to-date adjusted OIBDA increased by 1%, which includes $3.5 million of costs associated with our 2013 restructuring and approximately $8 million of REIT compliance costs. For comparison, adjusted OIBDA for the first 9 months of 2013 included $5 million in restructuring charges. Adjusted EPS of $0.35 is consistent with our annual guidance. For the quarter, it would have been $0.40 prior to a $0.02 impact from ongoing REIT compliance costs and $0.03 impact from depreciation and amortization related to REIT CapEx and investments. Additionally, EPS for 2013 was restated to be on a comparable basis using our structural tax rate of roughly 15%. Similarly, our structural tax rate for year-to-date 2014 came out to 16%. We continue to believe our tax rate will be roughly in the same range over the long term. On a GAAP basis, net income was impacted by approximately $40 million tax provision, which represents the revisions or estimates made in the second quarter for the reversal of current and deferred tax assets and liabilities in connection with the REIT conversion and taxes related to foreign repatriation. Also highlighted on this page are investment and capital expenditures. Year-to-date maintenance CapEx of roughly $45 million is on a run rate to be below our $80 million to $100 million full year guidance range. However, we typically see the majority of capital improvement projects undertaken in the latter portion of the year. Other CapEx of $33 million is roughly in line with the $50 million midpoint of our full year guidance, and real estate investment of $145 million, which includes racking, is on track with our full year expectation of around $200 million. As Bill noted, we are accelerating our efforts to own more of our real estate over time, and you can track the changes to our global real estate portfolio on Page 19. Over the long term, we believe that the purchase of our real estate will create value for our shareholders. The fundamentals of our business remain strong, as evidenced by solid storage rental revenue growth. On Page 9, looking at the top line growth for the quarter on a constant dollar basis, revenue is up 3.9%, reflecting solid storage rental revenue gains of 5.6% and service revenue growth of 1.3%. The growth in service revenue was driven by recent acquisitions and increases in imaging projects. On a constant dollar basis, year-to-date total revenue growth was 4.3%, driven by storage rental revenue gains of 5.5% and service revenue growth of 2.6%. Also on the same page, we show total worldwide volume growth. We continue to demonstrate improvement in net volume growth in Records Management with total year-on-year volume growth in the quarter of 5.5% including acquisitions, or 1.8% excluding acquisitions. Volume trends remain consistent with prior quarters, demonstrating stable incoming volume from existing customers, important additional contributions from acquisitions and further improvements in the level of terminations and withdrawals. Let's turn to Page 11, where we present components of growth on a segment basis. Q3 segment results were generally in line with our expectations, as our storage rental revenue continues to exhibit durability. North American Records and Information Management, or RIM, delivered positive storage rental internal growth and adjusted OIBDA expansion of 160 basis points to 39.5%. North American Data Management, or DM, delivered storage rental internal growth of 1.4%. However, the decline in service revenues in the DM business drove adjusted OIBDA margins for this segment down for the quarter. That said, DM remains a high-margin business of 56.2%. Declines in service revenues continue to reflect the trends towards reduced activity and related transportation revenues as our customers rotate their tapes less frequently and the biggest business becomes more archival. The International segment continued to generate attractive results with 6.8% storage rental internal growth. Internal service revenue growth for this segment declined by approximately 1.5%, primarily due to the reduction in nonrecurring customer projects. The International business continued to deliver profitability on a portfolio basis, in line with our mid-20s targets, with adjusted OIBDA margins of 24.5% year-to-date. Finally, Corporate and Other revenue was up about 10%, reflecting growth in data-centric service revenues. As Bill noted, we are making good progress, and we expect to end the year near a $20 million revenue run rate. Turning now to our outlook for the remainder of 2014 and preliminary guidance for 2015, on Page 10. Our business trends and operating fundamentals remain consistent, and we are on track to achieve our financial goals for 2014. Therefore, we are maintaining the majority of our 2014 guidance whilst tightening some of our ranges. That said, we have made 2 changes to our guidance that impact earnings per share. The first relates to the partial year impact of new shares that will be issued as a result of the special distribution. This will obviously impact our per-share metrics. The second relates to foreign exchange pressures. For the first half of the year, modest pressures from FX were offset by contribution from acquisitions and consistent core performance, which allowed us to remain comfortable within our previous ranges. However, as we have progressed through the year, we have witnessed further material strengthening of the dollar, which is outweighing the benefit from acquisitions and consistent performance. In the light of these recent changes, it is prudent to adjust for the known currency impact at this time. So as a result of the stock distribution and the impact of the foreign currency exchange rates, we have reduced adjusted EPS guidance for 2014 to $1.33 to $1.44 from our current range of $1.37 to $1.52. In addition, normalized FFO per share will be reduced to $2.21 to $2.46 from the current range of $2.25 to $2.51. Moving on to our preliminary guidance for 2015. From an operational standpoint, we believe we are on track to deliver our long-term goals, given the durability and strong fundamentals of our business. We are projecting constant dollar revenue growth of 1% to 5% and growth in adjusted OIBDA of 2% to 5%, in line with our strategic plan. Please note these growth ranges are in constant dollars based on our 2014 budget constant dollar rates. If the dollar remains strong, the current estimated impact on revenue and contribution could be at 100 to 150 basis points. We expect adjusted EPS to be in the range of $1.23 to $1.38 for 2015. To be clear, this guidance reflects an anticipation of an absolute increase in total earnings in constant dollars, offset on a per-share basis by the impact of the additional 15.8 million shares issued in connection with the special distribution. Driven by the consistent growth in our business and stable fundamentals, we expect normalized FFO to be between $440 million and $480 million, with AFFO between $570 million and $610 million. And, in addition, we anticipate that our dividend growth will continue to be in line with contribution growth. From a CapEx standpoint, we expect to maintain level spend on maintenance CapEx and acquisitions, although we anticipate an uptick in real estate investment driven by our purchase plan. We will update our outlook again on our Q4 earnings call to reflect changes, if any, including the impact of FX. Shifting to the balance sheet. Pages 25 and 26 present our debt maturity schedule and related metrics. At quarter end, we had liquidity of about $1.2 million. Our total lease-adjusted leverage ratio of 5.2x has increased over the past 3 years, as planned, to support shareholder payouts, expenditures in connection with our proposed conversion to a REIT and recent acquisitions. At today's stock price, our debt to total market capitalization is roughly 36%. We continue to shift our debt financing to international markets. In addition to having our expenses denominated in local currencies, we have long-dated bonds in Canadian dollars, pounds sterling, euro and more currencies available under our credit facility. This provides a natural foreign exchange hedge to support our growth in international markets and reduce taxable income in local jurisdictions. In September, we issued the equivalent of about GBP 400 million in a private pounds sterling fed offering in the U.K., and established a line of credit in Brazil to support our growth. Turning now to REIT-specific metrics on Page 20. We have provided storage NOI per racked square foot, which highlights the attractive economics we derive from our real estate for both our RM and DP businesses. We continue to achieve storage NOI in excess of $21 per square foot, amongst the highest in the REIT sector. On Page 21, our racking and building utilization rates remain high and in line with prior quarter at 91% and 83%, respectively. We believe that due to frictional vacancy, our maximum racking utilization is in the mid-90s. When we enter into a new facility, we generally target to achieve stabilized utilization in about 3 years' time. On Page 28, we have provided components of value, a summary of the various parts of our business to facilitate valuation. As a reminder, we present both storage NOI and service OIBDA excluding rent expense in order to present storage economics on a consistent basis whether leased or owned. To balance that, we provide total rent expense in the liabilities area. Finally, we are currently showing investment in buildings, racking and acquisition at book value, but it's our intent ultimately to provide a schedule of these investment categories with our expected returns. As we have stated in the past, we will continue to enhance our supplemental reporting, and we welcome your feedback. So, in summary, Q3 was a solid quarter, consistent with prior performance and supported by a sustained storage rental performance, stable profitability on our North American segments and strong international and emerging market performance. I will now hand the call back to Bill.
William L. Meaney: Thanks, Rod. And before we move to Q&A, I'd like to sum up by saying that despite some noise this quarter due to one-offs and aligning ourselves as a REIT, we are in line with our expectations and consistent with the strategic plan we laid out at Investor Day. The fundamentals are important, and we're pleased with the positive momentum we're seeing in the business. More specifically, we are driving volume in storage rental across both developed and emerging markets, we're shifting our revenue mix to faster growing emerging markets, and we're executing on attractive acquisitions and focusing on building scale, particularly given the highly fragmented nature of the markets we operate in. Our momentum leading into 2015 is strong. Our storage rental revenue internal growth accelerated to 2.2% in the third quarter, having started the year in the first quarter at 1.4%. In addition to continue strong internal volume growth in our Emerging Markets of 9%, we added 3.7 million cubic feet of internal growth in our developed markets as well, and added 1.6 million cubic feet in North America alone. In our emerging business area, we expanded capacity in the data center business by 25%, and more than 90% of the inventory space is contracted. And we've added another 700,000 square feet to our owned real estate portfolio at unlevered returns between 9% and 12%. 2015 preliminary guidance calls for similar growth in operating performance and adjusted OIBDA, although we anticipate some reported revenue headwinds due to the continued strengthening of the dollar. We expect consistent trends for durable storage rental revenue in developed markets, and are on track to continue to make emerging markets a more significant portion of our overall sales mix. And we continue to identify and incubate new business opportunities that are complementary to our core business. We believe the culmination of these key drivers in steady growth in earnings and AFFO, consistent with our [indiscernible] day projections and related growth in our dividend. With that, Operator, we're ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Steinerman with JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: I wanted to dive into the acceleration of the internal storage revenue growth. Obviously, it was very encouraging, but the service revenue was down more. And my question is, aren't these 2 sort of tied, like fewer destructions means less service revenues, which helps accelerate internal storage? And of course, storage is a better business. And so when you put that all together, I see you're looking for 1% to 2% internal for 2015. I assume you think that service will be kind of stable or positive to get there. So just help me with the confluence between service and storage internal revenue growth in the quarter and how it frames your 2015 comments.
William L. Meaney: So let me start, Andrew, and then I'll let Rod chime in on it. I mean, first of all, the thing you're highlighting is part of the story, but I think it's only part of the story. I think if you actually look at our service revenue, is in the data management space or our tape business, that's where we've seen more of an acceleration or a continued increase in terms of the drop in service revenue. It's starting to slow down, but that's the area which probably started a little bit after the drop in service revenue in our box business, but is still continuing, whereas in the box business, we do see more stability. Some of it is a reduction in destructions because there is some -- as we said last time on the call, there's some choppiness in terms of the way legal holds come in and out in terms of when things are queued up for destruction. But also, a part of the story is the data management business. So we feel good where we're guiding in terms of the overall growth in storage rental, and I think we said at the beginning of the year, we expected to get back into the 2s, and we've achieved that. So we feel like we're set up for good momentum next year, but I think it is important to call out that in our data management business, we continue to see a decline in service as that business becomes more and more archival. And then Rod, if you want to add anything?
Roderick Day: Yes. I mean, Andrew, obviously, there's a small sort of relationship between lower destructions and then impacting service revenues. So we're not hiding from that, but it's not really what's explaining what's going on in service. And just on that particular point, clearly, we'd rather have the queues given the sort of the perpetuity value of them than take the destruction revenue. So in terms of long-term value for the business, it's clearly a trade-off that we'd want to make. In terms of looking to 2015 and sort of answering that part of your question, what we're expecting within the numbers, certainly, we expect to sort of maintain the improved and good performance I think we're now seeing on the storage side. We're not expecting a sort of radical turnaround in service by any means, but we would expect to see some more modest improvements, particularly in areas such as our imaging business, which is actually showing reasonable progress this year at reasonable margins as well. So areas like that we're looking into to see what we can do to continue to drive performance. So hopefully that answers your question.
Operator: Your next question comes from the line of Scott Schneeberger with Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: On the service question. I'm curious about the special projects. Could you talk about what you're seeing, ebbs and flows there, and what your outlook is going forward for how meaningful those will be?
William L. Meaney: I think that -- Scott, I think, these are -- they are large, specific projects. Sometimes they are consulting projects, when we are bringing a new customers in, there's a number of things that they want to look at in terms of cleaning up some of their processes or digitizing parts of their inventory. So it's everything from bringing in new customers and some of the costs associated with that from their standpoint, to one-off projects again, where customers are going through a major cleanup or digitization of some of their records. So it's one of those areas which is probably the more difficult to guide for, because it's something that is usually driven by customer relationships and specific asks on their part. So it is something that we market for, but it's something that is hard to predict.
Roderick Day: And I think that's right, and actually, it can be a little bit lumpy. I mean, our business is obviously pretty predicable when compared to most businesses. But in Q3 last year, we actually had quite a large project in the data management space that kind of impacted some of our comparables. But they can be profitable lines of activity for us, so we'd expect to continue doing them, but they can sort of jump around a little bit quarter to quarter.
William L. Meaney: And the only thing I would add to that is we expect that and it is -- you can think of it as also a -- it's a marketing expense that has a very nice profit associated with it in terms of either maintaining a strong customer relationship as a way we differentiate ourselves with our customers, or, as I said earlier, in terms of getting a customer in, but it is also an area where we're able to variabilize our cost base. So it's something that we can preserve the margins, even though you have this lumpiness, but it's very much part of why we -- our revenue is so sticky, because we're able to provide these additional services to our customers when they need it.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: . Now I may have missed this. Did you indicate your expectation within guidance for paper prices in 2015?
Roderick Day: I didn't actually say anything on that, but our expectation would be for it to be flat year-over-year.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And then could you address swing factors with regard to high end, low end of guidance range for 2015? I imagine that the sizable acquisition pipeline will contribute there, but -- to the high end or the low end. But could you talk to some other drivers you think that will be meaningful in swinging the variance?
Roderick Day: Well, certainly, as you say, acquisitions, both in terms of the rate at which we bring on businesses and the speed at which we're able to integrate them have an impact. And for sure -- and as we look to next year, FX is going to be an issue. We've seen, as I was saying in the remarks earlier, that the dollar has strengthened, particularly over the last month or so. Clearly, that could get stronger, it could get weaker, and so we're studying that closely, and we'd look to update guidance at the beginning of next year as regards to FX, but that is an issue just given the sort of the global nature of our business. And you mentioned the shreds paper price, that's always a volatility that we have to manage. And another one within that for us will be our DMS scanning business, which has a sort of project component to it. To sort of build on the conversation we were talking about earlier, is that we are making reasonable progress actually in that area at the moment, and we -- obviously, we hope to continue to do so. But that's another item that can move.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: And then just one final one for me. Are you content with the size of the sales force you have, where they're focused, where they're located? Any major internal initiatives on that front into 2015?
William L. Meaney: I think we are -- I think on that point is that where our investment on the sales force is less on organization and reorg. We think the reorganization we did last year to get them much more in tune and closer to the market. Because as I said in my remarks, our market is still very fragmented, so we wanted to make sure that we were aligning the sales force with those real opportunities and unvended opportunities are. I think our focus this year now is less on the reorganization, because we think we've got that right, but more on the training in performance management of the sales force. So that's really the focus, and so we think we've got the right numbers, we've got them in the right places, and now it's about equipping them from a training in performance management standpoint.
Operator: Your next question comes from the line of George Tong with Piper Jaffray.
 Keen Fai Tong - Piper Jaffray Companies, Research Division: Going deeper into the storage business, can you map out how you expect volume and pricing trends to play out in your various geographies and what implications that will mean for future internal storage growth trends?
William L. Meaney: I think that the -- let me kind of back up and just highlight kind of the journey that we're on. So if you look at, say, a year ago, pretty much all of '13, you would see if we net out acquisitions, then you would have about 1.1% growth rate in terms of net incoming volume on the storage business, or on the box business, right? And if you look at where -- if you look at '14, I mean -- yes, '14, during that same period, you'll see that we've trended up from 1.5% net volume internal growth rate to this latest quarter of 1.8%. So, if you think about it, we've added 70 bps over the course of the year in terms of our internal growth rate. So if you're seeing -- and then at the same time, you see what we've done on the revenue side, as we said, we started off at 1.4% in terms of storage internal growth rate, in terms of revenue, and we're up to 2.2%. What we see going forward is, and it kind of relates to the last question from Scott in terms of what we're doing with our sales force, is we really do think now that we've got the sales force organized in the right buckets and looking at the right opportunities is -- and now we're spending -- investing a lot more money and time in terms of the training in performance management of that sales force. So, what we would see is that continued trend going forward. We do think that, from a pricing standpoint, as we start going into some of the unvended areas, we would expect that we could continue the type of performance that we've got in the latest quarter. So that's -- and that's really what we're focused on right now, and we're seeing that. And when you ask about geographies, the big part of that growth, that 70 basis points of growth that I've highlighted in terms of across our business, has been mainly -- the improvements mainly come out of -- or the deltas come out of the developed market. So a lot of this realignment of the sales force has been focused at the developed market, which is far from being dead, because I said it's still -- we find the developed markets, when we really got into it, is much more fragmented and much more unvended than we previously suspected. So we would expect to be able to continue the kind of performance that we saw in the third quarter going forward into '15.
 Keen Fai Tong - Piper Jaffray Companies, Research Division: Very helpful, Bill. And then on the services side, can you provide some additional color on the rate at which services trends are stabilizing? Any positive or negative catalyst that can move the needle with services?
William L. Meaney: Let me just stay high level. I'm going to let Rod comment in a little bit more in detail. I think that it's a tale of 2 -- let's take 3 different components of looking at the services. The one part on the box side of the business, which I think we've been calling out for the last couple of quarters, we see a flattening out of that. In other words, that business is becoming more archival, but we see kind of a stabilization in terms of the service rates that we're getting in that business, and we've been very successful in terms of stripping out costs as that business is becoming more archival. So we've got a good match between our costs and our activities in the box business, and we see a flattening out of that decline. If we look in the data management business, is we see continued single-digit decline, but significant single-digit decline in that business over time, then we're able to reduce costs in line with that. But we think that, if we look at it, we think the data management business, or the tape business, is a little bit behind in the life cycle in terms of trending towards the archival side of the business. So I think we're in the earlier part of the game, if you will, in terms of that flattening out. So I wouldn't call that as a flattening-out trend yet, but we're able to manage it from a margin standpoint. And then the third bucket is really some of the things that we were referring to before, is the DMS or, in some places we call it BPM-type processes, and there, there's 2 parts of it. There is what I would call the ones that are much more long-contracted, embedded part of the process with our customers, and these are multiyear contracts, where it's kind of an ongoing trend. And then we have some of these large projects, which are usually associated with a change or a specific need for the customers. But I don't know, Rod, if you want to comment in more detail?
Roderick Day: I don't know, I think you've hit on the sort of the key dynamics that we see. I suppose that the other point I would make is within services, where we have the shredding business as well, which is performing this year. But as I was saying earlier, the importance of paper price can sort of swing that up or down. It's actually been pretty stable this year. But I think in terms of the sort of the fundamental dynamics of -- and the bottoming out, some signs of bottoming out within RM, less so within DM. I think probably, the only other thing I'd add is then, obviously what we do try to do is make sure we're managing costs very tightly against whatever revenues that we have. I think it's been said on a number of occasions, it's the storage part of our business is where most of the value comes from. Services is an important contributor, but less material in terms of overall value. So the challenge for us is as these trends sort of work their way out, we need to -- and have been continuing to sort of make sure our costs are mapped accordingly.
 Keen Fai Tong - Piper Jaffray Companies, Research Division: Very helpful. And then just from a margin perspective, we had some impact this quarter from REIT compliance costs and acquisition-related costs. Just looking ahead, how do you expect these costs to evolve? And what kinds of sources of margin expansion can help mitigate these incremental costs?
Roderick Day: Well, certainly, the REIT costs that we now include in our adjusted OIBDA, are those that -- essentially, those costs are the need to allow us to sustain the REIT structure going forward. So, if you think -- we're effectively incurring them this year, we would expect to incur them again next year. So from a year-on-year dynamic, this year is kind of a negative because we didn't have them last year. Next year, it will be neutral from a year-on-year perspective. I think in terms of acquisitions, it will depend obviously on the -- what the future acquisition program is and how it plays out. The way that we work our acquisitions today is that in the first year, there's typically a significant amount of integration expense as we look to make sure we drive the synergies out of the businesses that we get. And then from year 2, the benefits really start to flow through. So, from the acquisitions that we've made so far, clearly, there will be a benefit year-on-year as we go '15 to '14. I think in terms of what does that mean fully in '15, it will depend on when we do any more acquisitions going forward, and the sort of the level of them. We're expecting that our acquisition program will be similar in scale, but clearly, it's always hard to predict exactly what we'll be able to close.
Operator: Your next question comes from the line of Justin Hauke with Robert W. Baird.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Let me just -- following up on that margin question, and I apologize if some of this -- I did hear was in the prepared remarks. But on the international margin decline, what -- I mean, that was down 290 basis points. I assume some of that was these M&A costs. But can you maybe give us that number in the magnitude just to kind of help us think about what's going on there?
Roderick Day: Well, I think what we do on the international side is we really try to manage it so over the course of the year, we're around the 25% mark. So year-to-date, I think we're at 24.5%. I think in the quarter itself, it was below that. Certainly, that number is the one that tends to get impacted more by phasing of acquisition -- the acquisition integration spend because that's where a significant amount of our acquisitions have been. So it can sort of jump around a bit depending on whether we're investing to get synergies or the synergies are coming out. But overall, I think we're quite happy where we're at, tracking to the sort of mid-20s margin, and that's pretty much where we are year-to-date.
William L. Meaney: Yes, the only thing I'd add to it. You -- just reiterating or emphasizing what Rod is saying is we wouldn't change -- we've said that -- we had that program to target the improvement to get up to 25% or mid-20% margins in the international portfolio, we wouldn't move off of that. You will get noise from time to time because of the timing of certain acquisitions and integration costs associated with that, but we feel pretty good about the portfolio as it is today that the maturing of some and adding of others that we think that mid-20s in terms of margin target is where we'll maintain.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Okay. That's helpful. I guess, my second question is kind of a 2-part, I guess, around M&A. I mean, the first part, just mechanically, how much M&A revenue is assumed in the 2015 guidance? And I guess, the capital that you're planning in the guidance to spend, do you have revenue and OIBDA attached to that in the guidance? Or would that be incremental? That's the first part. And then I guess, the second part of the question would be, given the leverage and the capital needs that you have, is there anything that would prohibit you from doing larger acquisitions if they came to the market maybe through an equity issuance? And how do you think about your cost to capital here as ability to do that?
Roderick Day: Maybe just to answer the first point, if you look at what we've done, the year-on-year benefit from acquisitions will be $30 million. And in terms of future spend do you want to...
William L. Meaney: I think it's hard to say what we can and we can't do in terms of acquisitions. We don't see a need on the -- this year, we obviously didn't need to do a major equity raise. So I suppose these things are always possible, but this year, for sure, we didn't have to contemplate anything like that to do the acquisitions that we have.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Right. But if something was to be more material, where it wasn't the smaller acquisitions that are out here, is equity a potential tool that you could use?
Roderick Day: Yes, equity is always a potential tool, but I don't like to talk about hypotheticals when -- because it depends on what the markets are doing and everything else. So -- but I mean, equity and debt are always the tool that you have when you're investing in your business or doing acquisitions. But, as I said, this past year, we didn't have to contemplate that.
Justin P. Hauke - Robert W. Baird & Co. Incorporated, Research Division: Got it. And just to be clear, that $30 million benefit from M&A in 2015, that's -- you said, Rod, that, that was from the acquisitions that have been completed year-to-date, that doesn't include any potential acquisitions?
Roderick Day: Yes, that's exactly right, Justin, that's where we're at. And then, clearly, if we are to do more, there will be more coming through. We'll obviously look to update the guidance at the end of next quarter on this because it can be a material impact on our numbers, but that's kind of where we're heading at the moment.
Operator: Your next question comes from the line of Shlomo Rosenbaum with Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: I wanted to start just a little bit on Slide 9, just going over some of the trends over there. On the bottom chart, in Records Management volume growth, since the beginning of the year, we've seen the out firm terminations go down. I was wondering how much of that is kind of a natural change that you're seeing? And how much of that had to do with the contracting -- proactive contracting changes that you guys made? And should we expect that to continue to improve through the course of next year?
William L. Meaney: Shlomo, it's Bill. It's a good question. I think that what I would say is that we're down to really where you would expect to be, roughly around the -- we're at 1.9%. So yes, the 2% to 1.9%, I think is probably the right level of that. And I wouldn't say it was even the contracting terms, I think it just came down to good customer service and good customer management. I think -- quite frankly, we had take our eye off the ball. We've introduced some software and tools, which I think we discussed at Investor Day, which has really helped us identify when we were kind of off the point in terms of customer service so that we could intervene before we had what I would call a significant customer service failure. So I think that has helped. So we've been able to play a lot better defense by keeping our customers happy and servicing them more proactively, and that's really helped a lot. So, believe it or not, it's just been focusing on the basics of the business rather than any magic from either contracting or anything else. But I think at some point, I think that clearly, the 2.7%, if you look back in Q4 of 2012, was way too high. And I think we're getting to the levels that I think a business with a good customer service apparatus would be targeting. So I think we're in the zone now.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: And I appreciate that. What about the organic side of the business over there -- we saw 6.8 going down to 6.1. Is that -- where is your sense of that kind of stabilizing? And is that the manifestation of kind of industry trends? How should we think of it? I know clearly, the goal is to offset the 2 that we're talking about right now, just trying to gauge if that's going to be kind of -- you've achieved the optimum. Or where you think you can get on the bottom? Where we are on that side of it?
William L. Meaney: I think -- look, I think part of it is driven by mix, quite frankly. In other words -- and not just in the North American versus international, but even the country mix within international, there are certain countries that we find that we're going into that are really at the early stages of outsourcing, and there are other ones that we're entering and they are more mature in their outsourcing, so they have lower growth rates. The other thing is -- and also being honest about it is that there's -- it's more art than science how we split between the new sales and the organic. Because in the new sales, it's both new logos and new business opportunities with existing customers. So it's a little bit -- so you have to kind of look at both numbers together, but I would say right now is -- clearly, in the mature markets is that we've always said they're kind of in the 6% to 7% range. Some of them are more trending towards the 6%. Some of them are still kind of in the upper 6% to 7%. And then the other thing is even in the emerging markets, we find quite significant variances between what the organic growth rate is in different countries. So some of the organic growth rates in some of the emerging markets, for instance, is north of 10%, and others is at 7%. So I think it's both a country mix issue. I think it's even within the developed markets, there's a mix across countries. And then the other aspect about it is there is an art rather than scientific split between new sales and the organic.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay, good. And then just a couple of other ones. Rod, will changes to FX impact the $4.10 to $4.20 in dividends expected for 2015?
Roderick Day: I guess it would depend on the extent of any FX change. I think sitting where we are today, we would be pretty comparable with that range. But I suppose I'm just putting a caveat out there, if things were to take a real, significant turn for the worse in terms of a real material strengthening of the dollar, we just have to sort of reserve the right to have a look at that.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Sure. But just leaving the exchange rates where they are today and just carrying them forward, you're comfortable with that $4.10 to $4.20?
Roderick Day: Yes, that's fine. But as I -- Shlomo, we've seen quite a marked shift just in the last month. So, it may even come back to our advantage, but it is a bit volatile at the moment.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: Sure, got it. And then finally, Bill, where do you guys stand in terms of going after the smaller business and the Cornerstone acquisition? I noticed it was kind of a strategic, a little bit more platform over there. We talked about progress in prior quarters. Can you just give us an update there?
William L. Meaney: Yes, thanks. That's a good question. Well, first of all, I think that we still remain focused on what I would call that middle market, because that tends to be, say both very fragmented and very unvended, right? So we think that's kind of a really interesting area, and there's a lot of growth in that segment. So I would say that it's early days in terms of us fully capturing the revenue synergies, if you will, or kind of the D&A synergies that we aim to get from the Cornerstone in the sense that, this year, we did the reorganization, the whole sales force. So the sales force is aligned to go after that highly fragmented and unvended middle market, but we've concentrated our training this year more on the verticals. And this -- in 2015, actually starting I think it's next quarter, so the last quarter of this year and early in 2015 is we're really focusing, rolling out both our training in performance management associated with that unvended middle market part of the segment where Cornerstone played quite well at.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Company, Incorporated, Research Division: And is pricing higher or lower over there versus the larger...
William L. Meaney: It tends to be higher, and -- but also, the service cost is higher associated with these, because these are smaller -- obviously smaller customers. So we do see a correlation between size of customer and pricing, but also, our cost is different, servicing this.
Operator: At this time, there are no further questions. Are there any closing remarks?
Roderick Day: Actually, I just wanted to make a clarification. In my statement earlier, I think I said that we would -- our current liquidity is $1.2 million. We're actually down to our last $1 billion as opposed $1 million. So I should have said $1.2 billion. Just so, in case anyone was having a heart attack. So, thanks.
William L. Meaney: Thank you very much. Thanks for all your time, and we'll speak to you next quarter. Thanks.
Roderick Day: Thanks.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.